Operator: Good day, and welcome to the KVH Industries Second Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Mr. Don Reilly, Chief Financial Officer. Please go ahead, sir.
Don Reilly: Thank you, operator. Good morning, everyone. Thanks for joining us today to discuss KVH Industries' second quarter results and our guidance for the 2017 third quarter and full year, all of which is included in the earnings release we published this morning. With me on this call is Martin Kits van Heyningen, the Company's Chief Executive Officer. The earnings release is available on our website and also from our Investor Relations department. If you would like to listen to a recording of today's call, you can access a webcast replay on our website. If you are listening via the web, feel free to submit questions to ir@kvh.com. This conference will contain certain forward-looking statements that are subject to many assumptions and uncertainties that may cause our actual results to differ materially from those expressed in these statements. We undertake no obligation to update or revise any forward-looking statements. We will also discuss certain non-GAAP financial measures, and you'll find definitions of these measures in our press release, as well as reconciliations of these non-GAAP measures to comparable GAAP measures. We encourage you to review the cautionary statements made in our SEC filings, specifically those under the heading Risk Factors in our form 10-K, filed on March 9th of this year, and the Company's SEC filings available directly from Investor Information section on our website. At this time, I'd like to turn the call over to Martin. Martin?
Martin Kits van Heyningen: Thanks, Don. Good morning everyone. Please to report, that we enjoyed successful second quarter with result in line or exceeding our guidance. Second quarter revenue was $40.5 million, while our non-GAAP EPS was $0.03 per share beating our expectations. We also achieved record airtime gross margin for the second consecutive quarter, while simultaneously increasing our subscriber base and airtime revenues by 6%. Our agile plans connectivity is a service product is off to a strong start and we saw robust sales of our inertial nav products as well. We did experience some challenges with the continued delay and the anticipated military order, along with a cold and rainy spring that slowed product orders for lessor boats and particular with our TracVision in mind. But overall the second quarter was positive both from a strategic and a financial perspective. And Don is going to cover the numbers in detail later. But before he does, I'll just go through some of the highlights and touch on some of our new initiatives. So starting with our Mobile Connectivity business, our airtime business grew $1 million or 6% year-over-year. Airtime gross margins for second quarter were 39% percent and that was a record for the second consecutive quarter. As I mentioned earlier, our subscriber base was also up 6%. Long term and new strategic initiatives are playing a part in the success. One major factor has been the growth of our usage based airtime plans which we launched two years ago, as part of our mini-VSAT Broadband 2.0 initiative, while other satellite service providers were focused on delivering unlimited plans that were in fact limited and throttled. We set out to differentiate ourselves from the pack and take full advantage of the speeds and savings that mini-VSAT Broadband offered. Our new usage based plans deliver the fastest network speeds at all times, with affordable monthly packages and complete transparency and control of data use. This was a groundbreaking approach to maritime satellite communications. And now usage base plans represent 60% of all mini-VSAT Broadband airtime subscriptions. Together with cost reductions in cooperation with our satellite providers, the transition to our usage based plans is a key factor in our higher airtime revenues and improved airtime gross margins. Here at KVH we take great pride in the reputation we've earned as a source of innovative products and services and now we turn that innovative spirit onto the maritime SATCOM business model. As we've discussed in our last earnings call, we launched agile plans, our subscription based connectivity as a service product in mid-April of this year. We recognize the need for flexibility in a volatile industry in which vessels might be mothballed or sold or re-commissioned quickly. The concept of multi-year rigid contracts flies in the face of reality when you look at how modern commercial fleets operate and are managed. Our goal is to respond to the maritime industry's growing awareness of the benefits of VSAT, while eliminating the obstacles to getting a better solution onboard an entire fleet. And that's where the innovation of agile plants comes into play. Our connectivity as a service approach is the first of its kind in the industry, offering an all-inclusive SATCOM package with no commitment beyond an extremely affordable monthly subscription. When it comes to competitive differentiation, KVH is uniquely positioned to offer a product like this because we're the only company that can bring together this SATCOM hardware, installation, airtime service, license content, training content delivery, global support, all within a single product offering. And we're very pleased to report that it's off to a strong start. Agile plans represented around 40% of all new commercial maritime shipments in the second quarter for our V7 and V11 products. That's about 20% of our total global VSAT shipments for the period, which was less than a full quarter. So this is an especially exciting as we didn't begin taking agile plans orders until about a third of the way through the quarter and agile plan isn't offered in the leisure market at this point and it's also only available for the V7 and V11. Early ARPU results on agile plans are also very positive and we've entered the third quarter with a substantial agile plant installation backlog. Now this is a completely new approach to delivering SATCOM solutions for marine industry and as a result we're also learning how this business model is going to operate in the real world. For example because it's a subscription program, we don't record revenue until the system is actually installed and activated. So right now we're seeing roughly 30 days from the time we get an order to onboard installation and activation and it's still early, so we'll have to see if that schedule remains consistent. In addition to agile plans, we're also expanding and enhancing our connectivity, content and training services for mariners. In May we introduced the YOURlink service, which allows companies to deliver their own custom media files directly to every vessel in their fleet via our IP mobile cast service crewmembers can then watch or listen on TVs, tablets, smartphones and PCs. Several fleets have already used the link to deliver safety training and corporate videos. Training requirement in the maritime industry and ship operators recognize that effective training minimizes risk to their crews, their vessels, their cargo and their bottom line. And that's why in May we launch an extensive new training suite to address gaps in seafarer engineering knowledge. The 100 modules of the KVH Videotel practical engineering suite are now available on a mobile friendly platform, utilizing 3D, animated graphics and comprehensive assessment and testing. We're now preparing to introduce a major new software based training platform at the London International Shipping week in September. This will be the first major product launch for Videotel as part of KVH unless. In leisure marine, there is strength at the very high end of the market industry wide and one of our new initiatives is to target the super yard segment with our end to end approach, which is why we establish a dedicated super yard sales and support team focused on the unique needs of this segment of the market. There are over 5000 yards in this ultra-premium category and we believe that we are well-positioned to establish a solid foothold there. Our message is solving the entire end to end problem should resonate with this demanding customer segment. Of course this group relishes high speed above all else and we continue to make excellent progress on the development of our next generation VSAT network, which is built on a foundation of HTS or high throughput satellites. As part of this effort, we're working on a range of new SATCOM products and services designed to support HTS availability and it will be an overlay on our existing network. So wrapping up on mobile connectivity. Our previous initiatives are now paying off and we're investing in new technology and business models to continue our market leadership. Now moving onto our inertial nav business, revenue for our fiber optic gyros were up 11% for the quarter, driven by sales of our high level inertial measurement and navigation systems. Overall revenue for our business segment decreased 29% year over-year-due to large TACNAV military orders that we had in Q2 of last year. While there are no large TACNAV shipments in Q2, we still anticipate significant revenues in Q4 from the previously discussed large TACNAV programs. These contracts are not yet booked, but we anticipate having them in place in the second half of the year in time to ship a portion in Q4. Some of these contracts will include our new large screen moving map navigation display. We're also refining other new products. We've made additional improvements to our TACNAV 3D product line, which includes our fiber optic gyros and just a few weeks ago we completed extensive independent testing of our TACNAV 3D tactical nav system for the U.S. Army program managers. During these tests, we demonstrated a remarkable 0.15% accuracy in position data over distance travelled, which is even better than our own specifications. Success in these tests was crucial as our fiber optic gyro based TACNAV 3D system will play a significant part in our ability to meet the upcoming requirements for assured, position, navigation and timing also known as A-PNT. So the call for PNT is driven by the growing recognition among military planners that GPS base navigation is at risk due to the emerging threat of GPS jamming and spoofing, which were demonstrated recently in places like the Ukraine and Syria. TACNAV is part of the solution to provide next-generation A-PNT capabilities to our war fighters. It includes our 1775 inertial measurement unit, which provides extremely accurate heading, dead reckoning and orientation and 100% situational awareness in GPS denied environments. Its small size, low weight, low power and now independently verified accuracy make it the ideal navigation and pointing solution for the digital battlefield, with or without GPS. Looking at our FOG sales for the quarter, the 1775 IMU and are another inertial systems contributor to continued strength in our fiber optic gyro sails which as I mentioned were up 11% for the quarter. Among new bookings was a nearly $2 billion order for IMUs to be used in a classified drone program, the majority that should ship this quarter in Q3. We're continuing to invest in R&D and our photonic chip based gyro, which is a key strategic initiative for our NAV group, designed for high volume production, this design is expected to maintain the current outstanding accuracy of our fiber optic gyros, but will dramatically decrease their cost and improve their manufacturability. This approach is crucial to our long-term prospects in the emerging driverless car market. While our existing FOG's provide the accuracy needed they aren't designed for the high volume manufacturing that may be required. Some analyst's estimate that up to 15% of all automobiles produced globally will be autonomous by the year 2030. So overall, our ongoing strategic investments in technology and services are progressing as expected. We've got a strong foundation of existing technology and services and I'm confident that the new products and initiatives launching later this year could significantly boost revenues starting next year. We're all very excited about where we stand now in our prospects ahead. And now I'm going to turn the call over to Don for some of the detail on the numbers. Don?
Don Reilly: Thank you, Martin. So now I'd like to discuss in more detail the financial results of the company for the second quarter. As you know our business operates in two reportable operating segments based on product lines, mobile connectivity and inertial [ph] navigation. The last page of our earnings release includes a summary of our operating results by segment for the second quarter and year to date periods. As Martin mentioned earlier, our second quarter revenue was $40.5 million, which was within our previously announced guidance range. And this compares to $46 million recorded in the second quarter of 2016. Revenue from mobile connectivity segment decreased $2.8 million and our inertial navigation revenue decreased $2.7 million. In constant currency, our revenues declined by about 10%. Product revenue for the second quarter of 2017 was $14.3 million, a decrease of $5.7 million or 29% from the $20 million in the second quarter for the prior year. By segment, product revenues and our inertial navigation segment decreased to $3 million or 36% and our mobile connectivity segment decreased by $2.7 million or 23%. Within our inertial navigation segment, our FOG business continued its solid top line revenue growth growing 11% this quarter, and TACNAV sales declined this quarter, as the prior year included the initial deliveries on a large TACNAV contract that concluded in the fourth quarter of 2016. In our mobile connectivity segment, the decline in product sales was partly driven by the launch of our agile plan subscription model. As Martin mentioned approximately 20% of our unit shipments this quarter were in connection with this new offering and as previously communicated, we do not recognize revenue - product revenue on shipment of agile plant products, as we continue to retain ownership of the products. Also challenging weather conditions, particularly on the U.S. East Coast impacted second quarter sales for all marine products and accessories and additionally we filled a portion of a particularly large order in 2016 which makes the quarter-to-quarter comparison more difficult. Service revenue for the second quarter increased by $0.2 million on 1% to $26.2 million from $26 million in the second quarter of last year, due to an increase in many VSAT broadband airtime service revenue of $1 million or 6%. Sequentially, mini-VSAT broadband airtime revenues were up 3.6% from Q1 in 2017 and 6.5% from Q4 2016. The increase in Q2 airtime revenue was partially offset by a lower content and training revenue of $0.8 million, which was primarily a result of the unfavorable impact of currency exchange rate fluctuations in the British pound. And again as previously mentioned, we launched the agile plan subscription program in the second quarter. Although the revenue recognized in the quarter from this program was not significant due to the time between shipment and activation of a system. Customer feedback has been positive and we're quite pleased with our initial shipments and the level of interest in this new go to market approach. For the second quarter, our consolidated gross profit margin improved to 44.7%, as compared to 42.8% in the second quarter of last year. From a segment perspective, our mobile connectivity gross margin was very strong coming in at 44.6%, up about 400 basis points, while our inertial navigation gross margin decreased about 800 basis points to 44.8% due to product mix. Margins on product sales for the second quarter of 2017 held steady, but the prior year second quarter at 35%. Our overall service margin was nearly 50% for the quarter, which was up over 100 basis points from last year. As Martin mentioned, our mini-VSAT broadband airtime gross margin improved to 39% for the second quarter. That's the highest margin we've ever recorded on this business in any quarter. Operating expenses for the second quarter was just under $19.4 million, down about 5% from $20.4 million in the second quarter of the prior year. The decrease was - the decrease in prior year was primarily due to lower commissions expense related to the higher TACNAV sales recorded in the prior quarter, which is off somewhat - offset somewhat by increases in administrative costs. For the second quarter these changes in revenue, margins and operating expenses resulted in a loss from operations of $1.4 million, compare with the loss of $0.7 million recorded in Q2 2016. Our mobile connectivity segment generated an operating profit of $2.6 million compared with $1.6 million last year, while our inertial navigation segment had operating profit of $0.4 million for the quarter compared with $1.6 million last year. Our unallocated loss from operations increased $0.5 million due to higher administrative costs. Our overall effective tax rate for the second quarter was negative 21.3%, which reflected the tax expense on our foreign earnings. For the second quarter and first half of 2017, we recorded a valuation allowance on deferred tax assets generated by the net operating losses incurred in the United States as required by accounting rules. As we consider this valuation allowance to be a discrete non-cash item, we've excluded this reserve when competing non-GAAP net income and EPS. For the second quarter our net loss was $2 million, as compared with a net loss of $0.8 million recorded in the same period last year. On a non-GAAP basis which excludes discrete items, intangible amortization and stock based compensation expense, we had net income of $0.6 million compared with $1.2 million last year. This decline was primarily driven by the increase in our operating loss described earlier. EPS for the second quarter it was a net loss of $0.12 per share, compared with a net loss of $0.05 per share in the same period last year. Non-GAAP EPS for the second quarter was income of $0.03 cents a share, which was significantly higher than our guidance range which we provided for the second quarter of a loss of $0.07, a loss of $0.04 a share. That's driven by strong margins and focused management of operating expenses. Our adjusted EBITDA for the second quarter was $2.1 million compared with $3.5 million recorded in the second quarter of last year. Adjusted EBITDA was also significantly stronger than our guidance range which was $0.5 million to $1.2 million. For a complete reconciliation of our non-GAAP measures, please refer to our earnings release that was published earlier this morning. Total backlog at the end of June was $11.1 million. Backlog for our inertial navigation products and services at the end of June was approximately $9.7 million of this amount approximately $6.2 million is scheduled to be delivered during the remainder of 2017. Our cash flows continue to be strong in the second quarter with cash from operations contributing $2.4 million. Our net debt increased in the first quarter by $1.3 million to $4.1 million, primarily related to increased capital spending, which was expected, but it was down $1.8 million compared to our last year end. So with that, I'll now turn to our outlook for the third quarter and the full year. Our guidance for the third quarter is as follows, third quarter revenue is estimated to be in the range of $41 million to $43 million and GAAP EPS to be in the range of negative $0.21 to negative $0.17 per share. Non-GAAP EPS is expected to be in the range of $0.01 to $0.04 per share and adjusted EBITDA is estimated to be between $1.2 million and $1.9 million. At the midpoint, our Q3 2017 revenue guidance represents a decline of about 8% compared with Q3 2016, primarily due to lower expected TACNAV sales which tend to be lumpy and then expected decline in mini-VSAT product sales, as we continue to experience the planned transition to our agile plans model for a portion of our units shipped. For the full year, we've tightened at the high end of our revenue guidance somewhat from $190 million to $184 million. Our revenue range now is $170 million to $184 million and we are reaffirming our expectations for our full year GAAP EPS range to be a loss of $0.69 cents to a loss of $0.38. Our non-GAAP EPS to be from $0.07 to $0.27 and our adjusted EBITDA to be from $8.5 million to $13.5 million. As a reminder, in our full year guidance we've included only a limited number of TACNAV systems from of the anticipated larger orders in the pipeline. This guidance assumes there will be no significant changes in foreign currency exchange rates. For 2017 we expect our capital expenditures will be in the range of $14 million to $18 million, slightly less on the high end of $20 million we had estimated earlier in the year. I would like to remind us all again about certain key strategic initiatives that are underway. The share that we believe will have meaningful implications for our company in the future. These initiatives include, the rollout of new high throughput satellite or HDS service and hardware the introduction of agile plans, which we've talked about, development of a low cost FOG for autonomous vehicles and enhancement of our TACNAV technology to support the critical military demand for A-PNT. We believe 2017 is an important transition year and these initiatives have the potential to transform the company going forward. So this concludes our prepared remarks and I will now turn the call over to the operator to open the line for the Q&A portion of this morning's call. Operator?
Operator: Thank you. [Operator Instructions] We'll take the first question from the line of Ric Prentiss from Raymond James. Please go ahead.
Unidentified Analyst: Yeah. Hi, guys. It's Alan actually in for Rick.
Martin Kits van Heyningen: Hey, Alan.
Unidentified Analyst: So looking at the 2017 guidance you took down the high end you know, by about $6 million and I believe previously you guys had assume that TACNAV orders would be flat from '16 and '17. So I guess my question is what's baked into the guidance now in terms of like revenues from TACNAV?
Don Reilly: So we haven't changed our TACNAV forecast. We think the upside of new TACNAV is probably less than it was, but we're still assuming overall TACNAV sales about $16 million for the year.
Martin Kits van Heyningen: Right, but we have booked some other orders. So we've actually decreased a little bit the amount within that $16 million that was based on the orders we don't have in hand. So we just kept it flat at the $16. So going into the year, we've got a lot of different parts to our business between mobile connectivity and V-SAT and TracVision and training and content. So you know, there is pluses and minuses. So half way through the year we're tightening the range a little bit.
Unidentified Analyst: Okay. And then you know if I look at your product gross margin consolidated, it's been kind of 30% to 40% range. How should we think about the gross margin profile of those TACNAV revenues when they do come in?
Don Reilly: While TACNAV margins are much higher than the average.
Unidentified Analyst: Okay, great. And then my final question is, you talked a little bit about you know, to encourage demand in terms of I believe the ARPU that you're seeing from the agile plans. So in the range of ARPU it's pretty wide I think from about like 500 to like 5000 a month. So I guess are those ARPUs different that you would have seen from kind of your historical subscribers and I guess what where I'm going with the question is are you seeing some of the customers that you have kind of using the savings that they generated from avoiding the upfront capital cost, kind of redeploying those savings to take on more bandwidth and more service than they would have historically?
Martin Kits van Heyningen: That's a great question and that's what we said, is in fact what we're seeing, but it's so early we don't want to you know, count on that. So you know, as Don mentioned that we - you know, we record revenue from the time the units installed and activated and that takes some time and planning to get the ship in port. So you know, it's early days, but so far it's much better than you know traditional and better than we were thinking, so. But we'll wait and see whether that is a trend or just you know an anomaly for early adopters, but so far so good.
Unidentified Analyst: Okay, great. Thank you so much for answering my questions.
Operator: Thank you. And we'll take the next question from Rich Valera from Needham & Company. Please go ahead.
Rich Valera: Thank you. First, just wanted to follow up on your answer to that last question Martin. So could just clarify what is much better than traditional when you do an agile plan versus the historical plan?
Martin Kits van Heyningen: Well, you know, our ARPUs have been in 1300 range traditionally. So these were better than that, which was not what we're counting on. And really just answering the question as it was asked, you know, we don't want to make a point of saying that you know agile plans are going to be double the ARPU. We are counting on them being similar and initial they look better. So that's you know, I don't want to overstate, it's just answering the question that we were pleasantly surprised. But you know, we weren't counting on that.
Rich Valera: Right. So could you just refresh us on the benefit to KVH of selling a unit as an agile plan versus a traditional plan, obviously you're giving up the upfront revenue for the equipment. What is the expectation of the benefit that you get if not higher ARPU?
Martin Kits van Heyningen: Higher margins. So the margins on the agile plans you know, I think it common misconception people think oh they're giving the hardware away. So how are they going to make that up? We're you know, we don't use this word in our marketing, but in fact it's a rental program, so we're renting the hardware. So we have higher gross margins you know, are built into the agile plans for the hardware and the service. So it's a high margin sale compared to the other model where you sell the equipment at relatively low margins and then you know sell their time plans at you know the 39% average margin that we're reporting today.
Rich Valera: Okay. I guess I thought that the monthly rate or the month the amount paid by the subscriber was similar under both plans is that not the case?
Martin Kits van Heyningen: It's similar….
Rich Valera: By additional plan?
Martin Kits van Heyningen: Yes, it is similar. But the quantities are different. So in other words the - there's a certain component of the monthly bill that covers the hardware and then there's a certain component that you know internally allocated for all the various components, including the content and the gigabytes of data usage. So under the agile model, we see the data usage being incremental to the plans because they are fixed quantity plans.
Don Reilly: And you know, the ARPUs - that the margin, the ARPU included in the component of the ARPU allows us to recover the investment in hardware in 18 to 24 months. And I think we've - that's consistent with what we've said in the past and we're seeing that. We're off to a very good start. The ARPUs are running - the ARPUs are running higher and higher, nicely higher. But and you know, we're up, we hope that continues, but it's very early days.
Rich Valera: Got it. Thanks for the clarification. Appreciate that. And also just wanted to follow up on TACNAV order that you expect to receive and ship this year. I mean, you haven't - if I'm correct, year to date you've seen very little TACNAV revenue. It looks like you know, on the order of a million plus dollars. So I'm looking at this correctly, but you're still looking for 16 for the year, so how should we think of that split between these last two quarters?
Don Reilly: We think the big - we still don't expect and our guidance doesn't anticipate large TACNAV in the third quarter. In fact, we expect you know, the big bump we're going to get in the fourth quarter.
Rich Valera: Got it. I mean…
Don Reilly: And you're right, our total year-to-date TACNAV sales were about $1.3 million.
Rich Valera: Right. So $16 million seems like a pretty big, not for the fourth quarter. And color you can give around. I think I understand you have a good chunk of that I believe already built in and sitting in inventory. But can you give any color, other color around you know, what would enable you to ship such a large amount in one quarter?
Don Reilly: Yes, I think you know, off the top my head I think around $9 million is un-booked $9 million or $10 million rather is un-booked. So we do have other backlog that will ship in Q3 and Q4.
Rich Valera: Got it. Okay. And Martin I just wonder if you can give us an update on the photonics base FOG, just you know, I think you gave some update last, were about - I think you built the prototype with the second spin of the of the photonics, I see any further progress to share with us there?
Martin Kits van Heyningen: Yeah, nothing - no big breakthroughs to report yet. You know, during the quarter we did actually installed one of the prototype chips into a gyro. So we're getting you know, core functionality and that's the last time there the problem to be solved now. Continues to be insertion loss and we've got some new foundries who have committed to meeting our specification which is encouraging. So we're continuing to make steady progress.
Rich Valera: Got it. And then Mark, I just wonder if you could give us some high level views of the application of FOG's into the ADAS market and kind of the - what level of automation in the ADAS hierarchy you see requiring FOG's and kind of your best guess as to the timing of when cars start shipping commercially with that level of automation?
Martin Kits van Heyningen: Yeah, I think you know, for us its level 3 and higher. So - and you know as I've mentioned in the past, there's every single car company and you know dozens of start-ups are all focused on this. You know, and all of them have a mixture of different technologies and they vary the emphasis on each component. Some people are doing you know, pure inertial NAV type solutions with you know, collision avoidance. Other people are trying to do pure vision systems. But most of them are using a mix of inertial LIDAR, RADAR vision kilometres just to you know, a real center of fusion, which coupled with AI is really you know, in my opinion the most likely method that's going to succeed. So you know, and today the vast majority of those are using high end inertial NAV systems as a key component of that. So most of the ones that you read about or seen are using kind of very accurate inertial. So - and that's the part where we intend to compete. And you know, as you know as things transition to automotive production cost becomes the main driver. So while we think that we've got a great solution today, we don't have the right price point for volume and that was true with the LIDAR. You know, when they started and it's true with the fiber optic gyrus as well. So but we think that if we can get the cost down to you know $200 to $400 price point, we think that is will be very attractive. You know, as far as timing, we see this happening because it's such a large opportunity. We think that there will be some significant volumes, even in the early prototype stages you know. 100 million cars built today, you could see a thousand or 10000 cars you know being prototyped or experimental cars that are small, fleets that operate in cities you know, for you know autonomous, passenger delivery if you will rather than cars being sold. I think that'll happen sooner rather than later. So you know, internally we're thinking 2018 2019 we'll start to see some decent volumes out of this.
Rich Valera: Got it. And the expectations for this year, I know you'd ship to a decent number I think close to a thousand into this market last year, any thoughts on this year versus last year?
Martin Kits van Heyningen: No I don't think we're going to see much this year. You know, no significant revenues this year. I think that sort of - you know we've satisfied kind of the prototype markets and I think that you know, all hands on deck for the next gen product to transition to this you know, higher quantities of early stage deliveries. So we see this as a next year type thing.
Rich Valera: Got it. Okay. That does it for me. Thank you.
Martin Kits van Heyningen: Thanks.
Operator: Thank you. We'll take the next question from the line of Jim McIlree from Chardan Capital. Please go ahead.
Jim McIlree: Yes. Thank you and good morning. If I can just follow up on some of Rich's questions on the economists market side. Martin you talked about getting the cost down to $2 to $400 million price point. Were you talking about for one FOG or for the collection of FOGs that would go into an IMU for that market?
Martin Kits van Heyningen: Yeah, that would be for one. So I think that as you know well they have three axis solutions. Now I think that you know in production you're probably able to get away with single super high precision sensor and to lower accuracy sensors. So you know, we're - but everybody has a different solution. Some people are using you know, our three axes FOG's, but you know, in our mind we think that's probably where the market will evolve to just for cost reasons. So the answer is right –single access, $200 per single access.
Jim McIlree: So you think your total content per vehicle would be 200 plus depending on the solution at specific customer is do you think?
Martin Kits van Heyningen: Right. And today a lot of them are - have fully redundant system, so they put two of everything. I mean, two batteries, two sensors, two motor I mean, it's just fully redundant. So whether that continues or not, I don't really know.
Jim McIlree: Right. And so the timing on the completion of the photonic base is that this year event or is that more early or mid-next year that you would…
Martin Kits van Heyningen: Yeah. You know, I just want to reiterate that this is an R&D project, so there's you know there's no guarantee that it will ever be completed. You know this is an important strategic initiative, but it's in the lab. So we think this is going to work. We think it's a great idea, but you know, as you know with any new technology there are no guarantees here. So I don't want to give the impression that this is you know merely an execution. You know, it's still R&D.
Jim McIlree: Okay, understood. And thank you for that clarification. But I'm still going to ask the question, so you know it noted that it is an R&D project and we do have risks associated with it. You know kind of like if all went well, it would be done by this time…
Martin Kits van Heyningen: Yeah, I mean.
Jim McIlree: What kind of things would be done by this time…
Martin Kits van Heyningen: Yes I think if it's not working by next year. Then it's probably not going to work. So I think that you know, I think we're at a stage now where we think we've got a path and we've got some founders who say they can do it and we expect you know, we're iterating samples and you know it should work and if it doesn't work then it's probably not going to, so I think 2018 is still our time frame.
Jim McIlree: Right. Okay. All right. And I want to make sure I understand what's happening with the agile plan. It kind of sounds like it's going faster than - where the take up is faster than you expected. First of all is that correct. And then secondly, I know it's early, but we do have an estimate or can you share an estimate as and when you think the agile plans as a percent of total shipments would max. So I got a when and at what level?
Martin Kits van Heyningen: Well, our long-term goal was 50%. We thought we'd be successful of half our sales were agile plans. Now keep in mind that it's not often the leisure market because leisure is a fleet product for commercial customers and leisure markets really don't - you know, we don't think it's the right product offering for you know the private boat owner and then today those are about 40% of our sales. So we expect that the majority of the commercial market will go that way and we're off to a really good start in commercial.
Jim McIlree: Right. But just from a - and I'm asking from a modeling standpoint, as it seems like it's taking up for the penetration of agile plans is - as it heads up more as a steeper curve. Then we'll probably see bigger than originally estimated drops on a year-on-year basis but that will recover sooner as well and that's all I'm thinking of it. Is that…
Martin Kits van Heyningen: Right…
Don Reilly: That's how we're thinking of it as well because you know since this isn't free hardware deal, it's a recurring revenue hardware deal. So that as you know time marches on, you know, every month now you're recording the hardware revenue from everything you sold in the previous month and then month 3 it adds to that. So you're definitely thinking about it the right way. So eventually it will equal even if sales don't increase, it will - after call it you know, four years the hardware portion of our reported revenue is identical to what it was if you were selling them,
Martin Kits van Heyningen: Like any software subscription model you know, compounds. So new activations this month you know, and this compounds next month, so we have new activations next month, plus those month and this continues go on that way. So over time you know, we get to a point which not just described our - a good portion of our revenue, significant portion of our revenue will be from the subscription model.
Jim McIlree: Okay. And Martin, you talked about an HTS product, is there an introduction date that you can share with us?
Martin Kits van Heyningen: No, we were thinking you know, this is something that we're working on for launch, later this year, towards the end of the year. So it's good to be a smooth transition as an overlay, bringing higher speeds and you know lower costs for us and the expectation is that you know, all of our product offerings eventually will be part of our agile plans. So it'll really be a continuum and we expect those two things to work together hopefully to make the offering even more attractive.
Jim McIlree: Right. That make sense. Okay and just one more back to the FOG and the autonomous vehicle. So let's assume the worst that the R&D project doesn't succeed. Then what are you just stuck with the stock, but you're going to have a niche product or that will be a niche market for you, the autonomous market or is there a…
Martin Kits van Heyningen: Yeah, I think that you know for maybe for larger platforms like you know, self-driving 18 wheelers or buses or people movers you know, then a $2000 solution might be fine, but for the mass market you know we're talking millions or tens of millions. You know, realistically I don't think that would fly. So I hope that answers your question.
Jim McIlree: It does, it does. Thank you so much. And here's hoping for the best from that one. So good luck with that break, guys. I appreciate it.
Martin Kits van Heyningen: All right. Thanks very much.
Operator: Thank you. [Operator Instructions] And we'll pick the next question from Chris Quilty from Quilty Analytics. Please go ahead.
Chris Quilty: Thanks. Don, I was hoping you could give us maybe a little bit more granularity on Q3 revenue guidance as revenues up sequentially, but profitability down significantly and you had really good OpEx performance in Q2 is that just moving back up to more historical levels or things going on here in the gross margins?
Don Reilly: Yeah, but it's still - moving back I guess, a little bit to historic lows. So we're also you know, we've said all year long, we expect our operating expenses to increase year over year by about $10 million. We kept that back in the first half of the year, but we expect that we'll see some of the spending increases that we talked about coming in the third quarter. So that you know, probably the biggest reason why quarter-to-quarter revenues will be higher. But you know, our profitability will be below. Last year to revenues will be - I'll take that back, revenues will be lower, profit will be much lower. Last year we had some significant TACNAV business which I mentioned already is very high margin business. So that makes the year-on-year comparison a bit more of a challenge, but was your question sequentially Chris or year-over-year?
Chris Quilty: Well, no, just on an absolute basis, the net loss you guided to is much wider and I was just trying to figure whether that's more on the cost side or on the margin side that's driving it on a sequential basis Q2 sequential?
Don Reilly: That's sequentially, okay. So I'd say, it's more on the cost side. Our margins should be - our margin in the third quarter will be consistent with the second quarter. So it's - but we expect higher operating expenses in the third quarter, higher R&D - I'm still here that somebody is...
Martin Kits van Heyningen: Operator Can you kill that line.
Don Reilly: Maybe it was the operator that got lost.
Chris Quilty: Okay, Shifting gears that maybe this metric isn't as important anymore. But you know, the net additions that you brought in the quarter I think you said that the overall year-over-year ship count was up 6% on a quarterly basis. Are you still kind of running in that 2 to 250 range?
Don Reilly: Yes, we're still in that range and I think that's you know, the big goal is to start to gain momentum with agile plans and start to break out of that range. And you know, it with the HTS we'll help with that as well. And you know, we are still operating as you know in a challenging market. So we are still in the marine market which you know, commercial shipping is not doing that well in the oil and gas which is stabilized. You know, I don't think anybody would say its recovery.
Chris Quilty: Got you. And with regard to the competitive situation have you seen anybody offer capabilities similar to what you've done with the agile plan? Or response in the market?
Don Reilly: No we haven't. You know I think that the - you know our bundle it's pretty unique and I don't think anyone else is going to be able to offer what we're offering. So you know, the only alternative is you know they can drop prices further and that really speaks to why we did this, is that we have a differentiated service offering and we intend to keep selling on our features and not you know, try and get into a price war on you know, who's got the cheapest megabyte. So it's really a - and it's starting to resonate with customers, who were really encouraged, sales teams excited, customers love it. So you know, we think we've done the right thing here.
Chris Quilty: Got you. And on the agile plans, I did this math in my head, so maybe dangerous, but it sounds like about you know 80% of the people that could take an agile plan did in the quarter is that first of all is that correct?
Don Reilly: No, no that's not correct. I think it's around 40%. So you exclude leisure and you exclude B-3. You know, so it was about 40% in two thirds of the quarter when we started from the time we announced it in mid-April.
Chris Quilty: Got you. And you know, what's the reason why somebody would not take up the plan?
Don Reilly: Some people have a CapEx budget and they want to buy it and they want to own it. They want you know, they don't need the flexibility because you know they own their own fleet. The people who really like this are fleet management companies where they're operating. And that's a big segment of the market. The ship management companies they don't have three year contracts with their customers. You know they may have you know, balance for another nine months and they expect it to be renewed, but they - you know there's no guarantee. So they can't go out and buy you know CapEx and put it on for three year - and a three year plan because they may not have the vessel after nine months. So - but there are still people who own their own fleet and they like to buy and you know we have no trouble selling them the hardware to. Like you know like the SaaS model, software companies you know - we just did a deal with IBM and they said hey you wanted it on-premise or do you want in the cloud. And they offered it both ways and we made a decision. So I think its fine for people who want to buy the hardware.
Chris Quilty: Okay. All right. Don, did you give the number for the mini-VSAT revenues in the quarter, airtime revenues?
Don Reilly: I don't know if I did, I can give it to you I think, hold on a second. About $16.5 million of memory serves
Chris Quilty: Okay.
Don Reilly: Yeah, $16.5 million for the quarter.
Chris Quilty: And those up…
Don Reilly: Those up in line versus last year.
Chris Quilty: That's all I need for now. Thank you, gentlemen.
Martin Kits van Heyningen: Great.
Don Reilly: Thank you.
Operator: Thank you. It appears there are no further questions at this time. Mr. Reilly, I'd like to turn the conference back to you for any additional or closing remarks.
Don Reilly: Okay. Well, thank you everybody for your interest in being on the call today. Martin and I'd be happy to take any calls later or answer any questions that may come through.
Martin Kits van Heyningen: Thank you.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.